Operator: Good day and thank you for standing by. Welcome to the DoorDash Q3 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instruction] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Andy Hargreaves, please go ahead.
Andy Hargreaves: Thank you. Hello everyone, and thanks for joining us for our Third Quarter 2021 earnings call. I'm pleased to be joined today by co-founder, Chair and CEO Tony Xu and CFO Prabir Adarkar. I'm also pleased to be joined by a special guest, co-founder and CEO of both [Indiscernible]. I would like to remind everyone we'll be making forward-looking statements during this call, including statements regarding the recently announced acquisition of all, including market opportunity, expected benefits of the transaction, accretion, time to close, strategies with buying Company, and benefits to customers in the markets in which we operate. Our expectations of our business, future financial results and guidance, and strategies, forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those described in our forward-looking statements. and some such risks are described not list factors including not SEC filings, including our Form 10-K. It's not lie on our forward-looking statements as predictions of future aware and disclaim any obligation to update any forward-looking statements except as required by law. During this call, we will be discussing certain non-GAAP financial measures, information regarding our non-GAAP financial results, including a reconciliation of such non-GAAP results to the most directly comparable GAAP financial measures may be found in our Investor letter, which is available on our Investor Relations website. These non-GAAP measures should be considered in addition to our GAAP results and are not intended to be a substitute for our GAAP results. Finally, this call in its entirety is being audio webcast on our website and a replay of the call will be available on our website shortly after the call ends. We'll typically go straight into questions, but given the transaction announcement, we'll have Tony and Miki give some brief comments before we go into the Q&A session. For the Q&A, please note that the Miki 's happy to answer questions about his approach to the industry and his rationale for the combination. Please don't ask questions about Wolt financials, or outlook, or future integration plans. Our businesses will remain independent until the deal closes. So we won't be answering those ones at this point. I will now pass it on to Tony.
Tony Xu: Great. Thanks, Andy. Hey, everyone, thanks for joining us today. At DoorDash our mission is to grow and empower local economies. We started in food delivery logistics, and our vision was always to build a platform that supports all of local commerce, and to do it on a global basis. To date, we have executed against this primarily on an organic basis. That's not because we believe that must be done organically, but because our framework for M&A sets a high bar. For those who haven't heard it before, our M&A framework is comprised of 3 core standards. First, it must be talent accretive. We look for teams of superbly talented people that share our vision as well as our approach to execution. Second, we must unlock product categories and, or new geographies. This means that we look for opportunities that expand our TAM, either in a way that we couldn't do so on our own or in a way that is much more efficient than we could do so ourselves. And third, it must increase our long-term profit potential and add to shareholder value. Wolt handling meets all 3 criteria. We believe Wolt brings extraordinary talent, a world-class product, and operational expertise that will accelerate our progress. We've gotten to know Mickey and the Wolt team well over the last few months, in fact, years and believe that they are truly exceptional. They share our ambition to build a global platform for all of global commerce. And they've established a culture based on innovation, intense operational rigor, and a bias for action. These characteristics match our own and we believe our strategic and cultural alignment make them the best team in the world to lead our international efforts. From a market perspective, Wolfe operates in 23 markets of which 22 are new markets for DoorDash. By themselves, we believe these markets provide an opportunity to grow our international business to multiples of what it is today.  This should allow us to invest and expand more efficiently than we could have done on our own and on a faster timeline. Finally, Wolt 's product scales to multiple categories. In certain markets, the Company has already established a strong presence in categories ranging as far as cosmetics and electronics. As we look to grow our non-restaurant categories globally, we expect their product vision and expertise will improve our execution. From a financial perspective, the opportunity in local commerce is enormous. We believe that the potential in our combined markets create a substantial opportunity to grow gross order value to multiples of its current level.  We expect to invest aggressively behind the Wolt team and believe their capabilities will improve our efficiency internationally, while allowing us to increase our focus in the United States. A building -- building a large and profitable local commerce platform is difficult to do in any market. Doing so across many markets simultaneously is exponentially harder. But attacking hard problem -- problems is what we like to do at DoorDash. And we know that the same is true for Volt. We couldn't be happier to be teaming up with Mickey and the extraordinary team at Volt to execute against our shared vision. With that, let me hand it over to Micky.
Miki Kuusi: Thanks, Tony. Hi, everyone. I'm Micky, co-founder and CEO of Wolfe. So my co-founders and I founded Wolfe back in 2014 with ambition to build a new layer of infrastructure that connects with restaurants and retailers, core years and consumers in a way that made cities better and people happier. We wanted to build the digital version of shopping mall, but with the convenience that a modern logistics engine can enable. We did our first delivery in Helsinki, Finland back in 2015. When we started, we knew a few things would have to be true if we were going to build a scale of a business we envisioned. First of all, we were going to have -- to going to have to expand beyond Finland. In Finland, we have fewer than 6 million people. So to build large business, we were going to have to be international from day 1, we built everything about the service from product logistics, to customer service with the idea of being easily exportable, is allowed us to launch 22 new countries in the 5 years from 2016 to 2020. Secondly, we were going to have to be efficient. In the Nordics, we have a challenging combination of small cities, low population density, higher labor costs and a whole different culture, that means we have to build the business to operate at incredible levels of logistical efficiency in order to generate room for profitability. Thirdly, we have to build the product that consumers locked. It was no room in our margin structure or our bank account to make off for poor quality products with a huge customer acquisition spend. We have to make our marketing spend work by using our product to retain consumers at higher levels than what we saw at competitors. We've been on an incredible journey so far, but believe we are only getting started. We have one chance to build a leading global platform for local commerce by joining forces with the team of DoorDash, we expect to put our combined Company on a path to accelerate our efforts and bring greater levels of value to consumers, merchants, and couriers around the world.
Andy Hargreaves: Thank you Mickey and Tony. Operating the questions now.
Operator: [Operator Instructions] [Operator Instructions]. Please standby. We'll be compiling, again, a roster. First question comes from the line of Ross Sandler from Barclays. You're now live.
Ross Sandler: Hey guys, I guess we knew this day was going to come eventually with the European Cold War kicking off. But I guess it's Tony, the first question, is it looks like Vault is doing about the same drops for hours, some of their competitors over there, and our understanding if they're number 2 in most of their markets, so I guess, what are you guys bringing to the table, and how might the combination change that and advanced them to the top of the league table. Thanks a lot.
Tony Xu: Yeah. Hey, Ross, I'll start and I'll let others here follow. I would say there are three big things that we saw about Wolt that are just really incredible. First and foremost, this is a team that executes in a very similar way to DoorDash. I cannot understate how important that is when we're talking about an execution-oriented business, which is what we find ourselves in. They really competed by building a winning product, by focusing on removing every basis points point of inefficiency, finding every penny of savings and building the business that has compounded its efforts in delighting the customer and doing so in a very capital efficient way. The second thing I would say is they built a remarkable business. I mean, as you saw in the Investor Relations deck that we uploaded, the business has grown to $2.5 billion and annualized gross order value is growing triple digits. It's done so while also growing its bottom line at the same time. And so it's become very, very efficient not only in its drops per hour, which includes idle time, by the way, but also just in how it's thought about everything from the consumer experience in conversion to customer support, to localization and so forth. They built an incredible business when you look at this capital efficiency combined with just how early their markets are, as a standalone business, they just have very large scale to grow into. The final thing I would say is it really represents an accelerated timeline and speed for DoorDash Bolt because of where they started in their home country of Finland, a relatively speaking, smaller country they knew from day 1 in order to achieve the scale of their ambition, they needed to expand into a lot of geographies and they've now grown to 23 markets of which 22 will be new to DoorDash. So the combined team will be able to serve over 700 million people, so not only does it grow our TAM, but it allows DoorDash to have single threaded focus here in accelerating our ability to compete on a bigger global stage.
Prabir Adarkar: Here, Ross, just to add to Tony's point, deliveries per hours is obviously an important metric but there's across other aspects of the P&L, we were actually amazed by what we saw in terms of voice capital efficiency. The retention is also supportive, and so what I'm trying to say with that is, it actually learning from voltage help increase the efficiency of our own international investments. The second thing -- the second point I'd make is Vault has 4,000 people. And so if you think about what that does to our international organic ability to expand internationally, which is raises our level of focus outside the U.S. And in third, it preserves our existing management bandwidth to go after the large opportunity that exists in the U.S., and allows us to sharpen that focus among in the restaurant category in the U.S. but also in terms of new categories like also inconvenience.
Ross Sandler: Great, thanks, guys.
Operator: Next question comes from the line of Deepak Mathivanan from Wolfe Research. Your line's open.
Deepak Mathivananr: Great. Congrats on the acquisition. Thanks for taking the questions. One for Tony and one for Miki. Tony, wanted to ask about the drivers supply and utilization here in the U.S. It seems like the driver acquisition trends are still pretty healthy but with various categories on the platform scaling with different on-demand needs for now. Curious on your thoughts on whether it would make sense to deploy a dual model with part-time, full-time model together with the on-demand workforce? What are the things that you are watching, potentially to explore this model? And then, maybe as a follow-up to Ross's question on formally key. I wanted to ask about your thoughts on the broader European markets. Where do you see kind of near to medium-term opportunities to expand next, given that the competitive intensity and some of the Western European markets is very different.
Tony Xu: Hey Deepak, I'll start on the Dasher question and I think there's actually a couple of questions in there. I think the first part is, if you look at dashers, they're actually no different from consumers in the sense that they all value choice. And one of the things that we've seen as with over 3 million dashers, who dash in the quarter earning over $2.8 billion, I think would really go to show is that when we offer flexible opportunities at the platform, it really can be complementary to the traditional labor market. And that's why I think you'd see healthy levels of Dasher supply in the marketplace that has drawn to meet the demand. And as we've gotten into other categories, this is even offering Dashers even more choice and more flexible opportunities, whether it's doing grocery deliveries, convenience deliveries, etc. I think the second part of your question really is around Dasher preference and at the end of the day, we're a platform that always has built what Dasher wanted. And then starting from that basis of offering and what we hear time and again, not just actually in the U.S., but really in all of our markets is how much they value the flexibility to earn. And starting from that basis, and then working backwards with local regulators, elected officials, and anyone else really who wants to create different frameworks that really meets the modern day realities of what it is that workers want. That's what we stand for. Go ahead, Miki.
Miki Kuusi: Yeah. On competition in Europe, like a lot of people say that it's very intense from where I'm sitting, like it doesn't feel that the intense I guess it's because when you're sitting in the pressure kettle for 7 years, you get used to the pressure. Competition has always been incense in our industry, and I expect it always will be. This is an industry that is ultimately about how you're able to vary efficiency with customer experience. Like the easiest thing in the world is to spend money to have an amazing customer experience, but not unless -- that's not a long-term sustainable business. And when it comes to competition, like our focus is not on competition, our focus is on the customer and providing value for the customer, building an amazing service for the customer. But doing it in an efficient, profitable manner, which allows us to keep on investing for a very long time into bringing more customers in the platform. If I look at Europe, it's still very early in all of our markets and in most of the markets in Europe, as well. So, yes there is competition, there will always be competition, but ultimately it's the game of execution of how you will value the consumer.
Deepak Mathivananr: Great. Thank you so much.
Operator: Next on our queue is Eric Sheridan from Goldman Sachs. Your line is now open.
Eric Sheridan: Thanks so much for taking the question. Just one really, when you think about what you framed as the potential for EBITDA, looking out to 2022 and how walls fits into that broader framework. Can you talk to us a little bit about your biggest priorities, including executing the ANSYS act would acquisition about what would push you to the upper or lower band with some of those profitability outcomes as you look out over the next 12 to 18 months. Thanks.
Prabir Adarkar: Hi, it's for me and thanks for the question. We're not fall many providing 2022 guidance. Really the purpose of the 0 to 500 EBITDA range was to signal that even post acquisition which by the way, has to go through regulatory review and complete, assuming the deal completes, we expect the combined Company to have adjusted EBITDA. that's loosely new 3 to 1 DoorDash will do on a standalone basis with 2022. And so despite the combination, it doesn't change our priorities. Our priorities still remain. First, to build the number 1 food app in the U.S. Second, to continue adding multiple categories beyond food and expanding the convenience grocery, packed food retail and so on. Third, to continue building the platform side of our business with DoorDash driving store fronts. And then fourth, to continue building a global Company and the Wolt conversation that we're having today is a huge part of that.
Operator: All right. Next one on the queue is Douglas Anmuth from JPMorgan, your line is now open.
Douglas Anmuth: Thanks for taking the questions. I wanted to ask about DashPass, you talked about the 9 million plus members. So that you could share a little bit more just on their characteristics in terms of frequency, and order size, and perhaps around new vertical adoption relative to non DashPass members. And then you mentioned Canada and Australia share gains but obviously early in some of the international markets, just curious if you expect the offering to work the same way as you expand more internationally going forward. Thanks.
Prabir Adarkar: Hey, Doug, thanks for the question. Yes. We're excited about DashPass, it's our primary affordability play to think about it, because we in a zero delivery fees as well as reduced service fees for DashPass members. The interesting pre -bound DashPass is that it actually helps with the overall retention DashPass members and higher retention compare to those that Mark Hughes DashPass engagement levels of significantly higher. We haven't disclosed exactly how much we hired instead we see DashPass members have a greater tendency to adopt across not just multiple types of products. So delivery and pickup, but also across multiple categories. And so, I view DashPass membership to -- increases a day, leading indicator in terms of future growth, and usually opportunity for us as we think about the size of the membership base to be 9 million. There's millions of other MAUs that currently use DoorDash that aren't DashPass members. And we've got work to do in order to convert them to DashPass numbers. Beyond that, there's millions of other people that don't use DoorDash at all. And so for us, as we continue making advances in terms of selection, both on the restaurant side as well as other categories, improve the quality of the delivery experience and continue to work on affordability. Our hoping that membership base grows. We should guide future growth. On the question on Canada and Australia, we look at it -- it's a slump like it was in the U.S. It comes down to the same 3 vectors of selection, quality, and affordability. And there's no other secret sauce and we'll continue to make progress, improving in all key dimensions, which is strong, leading into retention gains and category savings.
Douglas Anmuth: Great. Thank you, Prabir.
Operator: Next one on the queue is Michael McGovern from Bank of America. Your line is now open.
Michael Mcgovern: Hey, thanks for taking my question. Just a couple on Wolt, I was wondering, pretty surprising to see such high growth this year in 2021 when we're more post-pandemic and there should be higher mobility having presumably some deceleration on growth. So can you talk about what's driving the outsized growth for Wolt? And it doesn't look like geographic expansion, so is there maybe non restaurant expansion or category expansion that Wolt consume that's contributing to higher growth?
Prabir Adarkar: Thanks for the question. It's essentially a variety of things that are going I don't want to go into a lot of detail there until the deal closes, but it's not because of adding new countries, it's because of strong retention, it's because of customer acquisition strength, it's because of category expansion into beyond pooling and so. We would like to exactly point that you just observed which is continued strength despite the fact that we're now sitting here towards the end of 2021, 2 years after the pandemic began. All those data points are things that we saw we were excited by and thank you, to testament to the great product experience, and the good part of the Mickey and his team have built.
Miki Kuusi: Yeah, and I mean, people rate 80 -100 times a month, so if you're talking about like an average market in the frequency of 3 and 4 like the reality is that like we're still a very small part of our customers lives. And if you look at the broader population, most people have never even find a service like us. So we're only getting started when you look at like the market we operate in, expanding the new cities, bringing new merchants on the platform, and increasingly being much more than a restaurant food delivery service, now expanding to retail and other categories. So ultimately, it's an execution game. If you're the best possible provider for the customer, you will have customers using your more frequently, more often on your customers coming to the platform. And that's what we're focused on.
Michael Mcgovern: Got it. Thanks so much.
Operator: Next one on the queue is Youssef Squali from Truist Securities. Your line is now open.
Youssef Squali: Great. Thank you very much. Two questions from me, please. First, on the acquisition, can you maybe just speak to the low level of integration needed for you guys to deliver on the vision? Just trying to understand what are low-hanging fruits versus things that may take longer to execute on? Just considering the large footprints of the acquired Company. And second, maybe you can comment on the Albertsons partnership that you've announced last quarter? Any learnings from that for grocery delivery? I think you had initially talked about a couple thousand stores, and do you anticipate any more partnerships by year-end? Thank you.
Tony Xu: Sure. I'll take both of those. On the first question, this partnership is really about acceleration and expansion to play for a bigger price on an even larger global stage. I think both Wolt and DoorDash has done a remarkable job in building the best product possible in their respective markets. And really, when I think about the combination now serving over 700 million people once the deal is closed from the first half of next year, we have a lot of work to do. We have a lot of work to keep delighting our customers and offering the best combination of selection, quality, price, and service. And that's true in the restaurants category. That's also true beyond restaurants. So there's a lot of work to do. And in that vein, we really could use all the talented teammates possible. I mean, this partnership is not about cost synergies. This partnership is about the acceleration and expansion, and we're very excited for the long runway ahead. Your second question I think was with respect to Albertson, it's been a fantastic partnership with Albertson, you're right we've now launched across their entire footprint over 2,000 stores. And we continue actually to see other partners added into this category. In fact, in the Third Quarter, we announced over 40,000 non-restaurant stores, including a recent additions of Total Wine & More, Weis Markets and Cardenas Markets in the grocery category, if that's what you're focused on, and also Bed Bath and Beyond. So even beyond food and liquor. As we discussed, there are 4 big areas of work right now at DoorDash, we're building a number 1 food app. We are getting into new categories such as convenience in grocery. Those are relatively new categories where -- I know we're the leading platform in the U.S. in convenience deliveries, but with the long, long ways to go there. We're continuing to invest in services to help merchants build their own digital business with products like DoorDash Drive and Storefront. And obviously, we're making a big announcement today on our international business. And so again, the theme even in both of your questions is, how do we make sure we have single-threaded leadership in order to have both speed and quality of execution across all of these priority areas.
Youssef Squali: All right. Thanks, Tony.
Operator: Next one on the queue is Bernie McTernan from Needham & Company. Your line is now open.
Bernie Mcternan: Great. Thanks for taking questions. Just two for me. Tony, as you think about the next 12 to 24 months and isolating the U.S., what do you see is the greater near-term opportunity for you that are increasing the frequency of usage from the base, and as a result, driving more DashPass members? Or just continue to expand the total number of customers on the platform? And then just follow-up on DashPass. The 9 million customers, certainly more than we were expecting and it's been a while since you provide, I think it was last year, you provide the 5 million. Can you talk about the cadence of getting from the 5 million to the 9 million?
Tony Xu: Yeah, I'll take the first one and maybe I'll let Prabir to follow on the second one. So on the first one with respect to just the opportunity in the U.S. we're still pretty early. I know that obviously tell that it was a big accelerator into the business. And in fact, you've seen a lot of the resilience of that consumer behavior stay even though in-store dining has returned to effectively all-time highs according to the latest Census Bureau staff that I saw in Q3. So there's just a lot of work still to do in the restaurants category alone. Yes, we're seeing consumer engagement higher than pre-COVID levels. As Prabir mentioned, there are a lot of customers that have never used DoorDash and certainly our customers that use DoorDash, there's a lot of them that are not a part of DashPass. That's certainly an opportunity. Another big opportunity I would cite is our work into other categories. We are quickly marching into these other categories. In the first quarter, we announced single-digit percentages of our monthly active users having shopped in a non-restaurant category, that number is now up to 12% in the third quarter. But again, these categories of convenience or grocery or alcohol, they're very, very, very young. We think there is a massive runway ahead and certainly a lot of work to do in order to invent, to bring these categories online.
Prabir Adarkar: Good morning. On your question of K1s, I'm not sure exactly which area you're looking for in your question as the speed at which we've added that's brought service whether the results from jewelry into the pandemic. Let me put it this way. We've had quarter-on-quarter growth in the national membership program every single quarter since we launched the program.
Bernie Mcternan: Understood. Thank you.
Operator: Next one in the queue is Jason Helfstein from Oppenheimer Company. Your line is now open.
Andy Hargreaves: Jason are you there? Let's go onto Brad, air the next question and will come back with you on that one.
Operator: All right. So for the next question, we do have Brad Erickson from RBC Capital Markets. Your line is now open.
Bradley Erickson: Thanks. So just a couple, I guess. One, how should we think about the brands going forward here? Do you go with multiple brands across the markets that are kind of in or just DoorDash, maybe eventually takeover in certain countries? And then second, when you look at the priorities here, once the deal does close, is it really to just focus on the existing countries where, we're both our operating or maybe we'll also look to expand into new countries with either of the brands? Thanks.
Tony Xu: I'll take that one. Hey Brian, I guess crawl walk run like say a lot internally, and first we have to wait for the deal to close, which we expect to happened in the first half of '22. Second point around, I think your question was around brands. Well -- these are hydro local businesses, and at the same time, all these share that global commonality that people, regardless of where they live, eat 3 times a day, and shop in this category over a 100 times a month, and are always seeking more and more convenience. And brands tend to be hyper-local, and so we're going to optimize for, how do we serve customers, merchants, and couriers, in the best possible way in their hyper-local area? In fact, nothing is going to change in terms of the quality of service, certainly day 1, we only expect that to increase over time. And with respect adding to the second part of your question around the existing footprint versus adding footprint, we have a lot of work on our plate. There's 700 million people that post deal close we are going to have to continuously delight. And while we have the benefit and the privilege of living in a high frequency category, we also recognize that as an execution-oriented business where you have to earn every single order and every next order before we can earn the privilege of serving our customers the next time. So not much more to say than that right now besides super excited about the announcement today with a great team that shares our vision as well as the way we operate. And we have a lot of work ahead of us.
Bradley Erickson: That's great. Thanks.
Operator: Next one on the queue is Steven Fox from Fox Advisors LLC. Your line is now open.
Steven Fox: Hi. Good afternoon. Two questions, if I could. Just on the acquisition, it sounds like there's areas where you both have different kinds of efficiency improvements versus the other. I was wondering how you envision sort of getting best practices out of the 2 platforms? And then secondly, can you just talk a little bit about the ads growth? I understand you said in the letter you're reinvesting profits from ads, but can you give us some sense for how it's growing and how successful it's been in the last quarter? Thank you.
Tony Xu: Sure. I'll take it first and I'll let?for beer? follow-up on the ads question. With respect to the first question on efficiency, there are no silver bullets in this business. That's what I've learned. I mean, there is literally efficiency everywhere from the consumer shopping experience itself to merchant operations, to customer support, to drive our efficiency, which I think sometimes gets quite a lot of attention. And -- but there is literally a systemic equation in which you have to look at every component part, break it down into its inputs in from first principles, build the best possible combination of selection, quality, price, and service for customers. And you're absolutely right, the Wolt team has done an amazing job with that, the DoorDash team has as well and post deal close, we certainly will share best practices, but there are no silver bullets here. It's an execution-oriented business where you really have to understand how the inputs translate into the outcomes. And you have to work every single variable.
Prabir Adarkar: Hi Steven. And on the question about ad on, so it's -- we're not disclosing ad revenue at this point. What I would say is we're being careful about how we build it. It's really a merchant service. And it's not an EBITDA play. And what I mean by that is we're taking our time to ensure that we have to remain strong for advertisers while ensuring that the customer experience remains utilized. Ideally, it's related to the customer experience. And then as you pointed out, as we make more progress, those profit dollars will get invested back into growth initiatives as I made the point on going EBITDA play from our perspective.
Steven Fox: Great, that's all very helpful. Thank you.
Operator: Next one on the line is James Lee from Mizuho. Your line is now open.
James Lee: Great. Thanks for taking my questions. I was hoping to get, update on DashMart and you know what are the key learnings that you guys are seeing so far. And what do you need to see for this business to expand, should we think about this business as a complementary business or can it scale to a point into a main product? Thanks.
Prabir Adarkar: Thanks for the question, James. And the way I view our convenience business consists of 1P and 3P offerings. And to defend it from a customer's perspective, all they care about is that they get the selection that they knew that -- the right quality and affordable prices. And so to us, it's a hybrid strategy that involves both 1P and 3P partnerships in order to ensure that the selections available are the best quality in price. On the latter part of your question, at the end of the day, it's to one -- it's a form of selection just like anything else. And allows us because it's first-party to include not just food, include not just grocery, but potentially AirPods or other things that the customer wants in demands. It's a core component of our strategy, we're investing in it, which is part of the second priority I mentioned earlier in the conversation. And you can expect more updates as we make progress, but we're not prepared to disclose today.
James Lee: Thank you.
Operator: Right. Next one on the queue is Jason Helfstein from Oppenheimer and Co. Your line is now open.
Jason Helfstein: Thanks, Eric. I'll be making, again, multicasting. I saw you guys just filed the perspectives, but maybe I'll ask this maybe scenario, but how did you think about valuation there? I don't know if there's something you want to share as far as like trailing 12 months revenue or gross profits. So just any thoughts how you thought about valuation. And then in the first quarter, you mentioned 7% of the business is from non-restaurant orders, just any update there? Thanks.
Operator: Okay. Next on the queue is Brian Fitzgerald from Wells Fargo. Your line is now open.
Andy Hargreaves: [Indiscernible]
Operator: Yeah. Go ahead.
Prabir Adarkar: [Indiscernible] We didn't disclose the order on new verticals, but what we did say, is that the customers are any use that orders from categories outside of restaurants grew 12% in September and December with single-digit back in Q1. That's where the second question you asked on the question of valuation, we aren't disclosing anything other than the current run rate GMV from -- involved in package you thought about the valuation we looked at the non-term profit potential of the business is given the retention dynamics we're seeing in the unit economics, in ancillary markets as well as the runway getting Wolt currently has 2.5 million MAUs in the countries in which it operates in. These countries have 370 plus million people, so there's a lot of runway for growth, and I do believe in the team and I believe if we execute well, we think we'll generate a very attractive return.
Operator: All right. Brian Fitzgerald, your line is now open.
Brian Fitzgerald: Thanks, guys. Maybe just a follow-up on both. Can you talk about the level of batching that you've done there historically if you track that, how it has progressed? And then on DoorDash, wanted to know if we gave an update on the reception and the adoption levels of the more recent 15, 25, 30 commission levels, how that's progressing if you're seeing people move out of one bucket into another? Thanks.
Prabir Adarkar: Maybe on the question batching, as I said, look, the Company is operating independently today, we're not going to provide an update on board's matching levels at this time. On the adoption of the pricing tiers, we said last quarter with the majority of [Indiscernible]?mass??transit? choosing either premium or plus new real update on those metrics. Other than to say that the premier mix outperformed our expectations. And the question was really a unit revenue question. Maybe this is a smaller factor versus all of the other movements. And given our investments that hit in our data rate.
Brian Fitzgerald: Thanks.
Operator: Your next question comes from Mark Mahaney from ISI. Your line is now open.
Mark Mahaney: Thanks. The presentation describes Finland is having one of the most difficult markets for last mile local logistics. Could you explain why? What's particularly difficult about that market? And I asked that because the follow-up question is, when you think about the attractiveness of the European markets, Eastern, Northern European markets, where this acquisition -- if it's successful will take you. Is there something about those markets that's more or less attractive than what you currently face in terms of regulation, income requirements, and there are some for workers for in classification of workers, etc. So it's just something about those markets that makes them more or less attractive. They can still be intrinsically attractive, but less attractive than the current markets that you're in. Thank you.
Miki Kuusi: I can maybe start. If you look at our top of the business, like ultimately it's the marriage of efficiency and customer experience. Why it's been this difficult, like Nordic countries have the lowest income disparity in the world. It means that our blended hourly cost is going to be surprisingly close to our average order value. So we need to make the model work by the way of efficiency. There's not really tipping culture. So you have to survive on relatively low delivery fees and commissions. There's not a very strong pre -existing delivery cultures. You have to basically educate consumers to use delivery. And then like cities are not very high density and they are not very big. So you need to be able to succeed environments where order density is not going to be very high for a very long time, if ever. I'm going to top it off like we have very harsh winters. It's a hit stock for most of the year and so forth. So it's just a difficult way to do what we do. And the funny thing is that as we came out of Finland louder than Nordics, we just realized that every other country we saw, was a lot easier for us to do. I guess, like here, like we used to get every single ounce of the mobile to work out a little bit more efficiently to be able to operate.
Tony Xu: Yeah, and Mark, what I would say, or what I'd add to that is I think that what the Wolt team has really proven is, regardless of market, people eat 3 times a day and they're always seeking convenience options. And what's been really attractive about frankly their markets or even larger markets is just how early the runway is, both in the food category as well as beyond.
Mark Mahaney: Okay, thanks a lot.
Operator: Next question comes from the line of Ralph Schackart from William Blair. Your line is now open.
Ralph Schackart: Good afternoon. Thanks for taking the question. Just on that driver supply. Just curious what the trends that you're seeing now that some of the government subsidies are starting to weigh in a number what you talked about the average active, our increasing by about 9% or so. Just curious more on the supply, if you sort of attract and retain drivers in this current environment?
Tony Xu: Yeah. I can study -- dasher supplier I think has been very very healthy in the second and the third quarter. And I think again what you see is just, again, over 90% of these dashers work fewer than 10 hours a week. And then the average dasher is under 5 hours a week. And so if you think about just the nature of that work, it truly it's very different and frankly very complementary to a traditional job. As a result of which that's why we saw over 3 million Dashers in the quarter that have earned over $2.8 billion, and Dasher pay has actually increased by over 30% per active hour. And so it's been very healthy, but this is, again, a business where it's very, very dynamic. As we head into Q4 with seasonality we're going to have to make certain preparations and changes and we saw that also with Exogynist influences vol, in Q1 with some of the stimulus money coming in and driving up demand and so, but in general though, because of the nature of the work and how flexible it is, Dasher supplies have been relatively healthy.
Ralph Schackart: Okay, great. Thanks, Joe.
Operator: Next question comes from the line of Alex Potter from Piper Sandler. Your line is now open.
Alexander Potter: Great. Thanks very much. I was hoping you could give an update on drive. I know, historically you haven't wanted to disclose specifics there, but maybe just qualitative. How is drive been going? And then a follow-up question also related to drive. Is there an analogous sort of white-label service with Vault? I know that historically the European markets maybe have been more mom-and-pop less sort of large franchises, I'm just curious the extent to which you'd consider a white-label offering in Europe, as well. Thanks.
Tony Xu: Sure. I'll start. On Drive you're absolutely right, I mean, it's the -- Drive is the business that we've launched now for over 5 years, which really started in 2016. And it really started as a service to help restaurants build around digital business for on-demand delivery, but since, it's really grown into the last-mile logistics system for all retailers. I mean, it's -- we're [Indiscernible], I guess the work is -- businesses is really across every category, whether it'd be grocery or health and beauty or general merchandise. We've seen it across the board, and so the drive business has really diversified as well. We believe a long way to go in building a platform services business in which we not only want to create the largest local commerce marketplace, we also want to build the largest local commerce platform. We have to help these businesses, certainly with logistics that's one component, but everything from customer acquisition to customer service are things that you're going to have to do as a business owner in order to build additional business. And so we have quite a long way to go on the platform services road map, drive is a huge part of it. And we're excited to bring it to most places.
Alexander Potter: Okay, great. Thanks.
Operator: Again, if you would like to ask a question, [ Operator Instruction ] Next one on the queue is Robert Mallings from Gordon Haskett Research. Your line is now open.
Robert Mollins: Thank you. Tony, when you look at heavy users that aren't DashPass members, what are some of the reasons those consumers haven't signed up, and what levers can you call it to change that?
Tony Xu: Yeah, it's a great question. So again, customers value or are evaluating us across four dimensions. The selection of stores. The quality of the delivery experience as measured by speed and timing and it's accuracy. Certainly the affordability the program which you're referencing DashPass and customer support. And so those are all of the things that we have to get right to be a valuable enough service where we can earn the privilege of getting a DashPass members. And you can see that, we're doing work in all of these areas. There isn't necessarily one thing that we can do to drive up membership. It's really working on all of the inputs. I mean, big part of selection in addition to adding more and more restaurants and different ways of interacting, those restaurants. Not only the leading platform for delivery in the U.S. but also the leading platform for pickup, for example, in the U.S. is other categories. And as mentioned both in our shareholder letter, the progression from low-single-digits or single-digit percentages in Q1 of our active user base trying a non-restaurants categories and now 12% in the Third Quarter, I mean, that's showing some of that progression. But we have a long way to go there. The quality is something that we're constantly obsessing over, constantly trying to shave seconds and minutes of inefficiency out of the system. Company trying to improve our accuracy. As well as just making it easier also, for deliveries to be completed on our platform. And with respect to service and affordability, we're always trying to deliver more value to consumers, more value to merchants, and more value Dasher. So a lot of work remains to be done, no single silver bullet, but it's really about working the inputs to offer the best combination so that we can earn the privilege of having more members into DashPass.
Robert Mollins: Great. Thank you very much.
Operator: Right. That was our last question. I will now turn the call over back to Andy Hargreaves.
Andy Hargreaves: Thank you everybody for joining us and thank you Tony, Miki and Prabir. We will talk to you all soon. Have a great evening.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.